Operator: Good day, ladies and gentlemen. Welcome to Alamo Group Second Quarter 2015 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] This conference is being recorded, Thursday, August 6, 2015. I will now turn the conference over to Mr. Bob George, Vice President of Alamo Group. Please go ahead, Mr. George.
Robert George: Thank you. By now you should have all received a copy of the press release, however, if anyone is missing a copy and would like to receive one, please contact us at 212-827-3746 and we will send you a release and make sure you are on the company's distribution list. There will be a replay of the call which will begin one hour after the call and run for one week. The replay can be accessed by dialing 1-888-203-1112 with the passcode 7072359. Additionally, the call is being webcast on the company's website at www.alamo-group.com, and a replay will be available for 60 days. On the line with me today are Ronald Robinson, Chief Executive Officer and President; Dan Malone, Executive Vice President, Chief Financial Officer; and Richard Wehrle, Vice President and Corporate Controller. Management will make some opening remarks and then we will open up the line for your questions. Before turning the call over to Ron, I'd like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results, among those factors which could cause actual results to differ materially are the following: market demand, competition, weather, seasonality, currency related issues, and other risk factors listed from time to time in the company's SEC report. The company does not undertake any obligation to update the information contained herein, which speaks only as of this date. I would now like to introduce Ron and turn the meeting over to him.
Ronald Robinson: Thank you, Bob, and we want to thank all of you for joining us today. Dan Malone will begin our call with the review of our financial results for the second quarter of 2015, and then I will provide a little more color on our performance. And then following our formal remarks, we look forward to taking your questions. So, Dan, please go ahead.
Dan Malone: Thank you, Ron. Second quarter 2015 net sales of $215.7 million represents a 4% increase over the second quarter of 2014. Our top line results were primarily held by the contributions of the business units we acquired in 2014, from Specialized, but hurt by the continued negative effect of a strong US dollar on the translation of non-US sales for reporting purposes. Excluding acquisitions, second quarter 2015 net sales were $180.7 million, down about $8 million or 4% from the prior year quarter. Excluding acquisitions and over $9 million of negative currency translation effect, our second quarter 2015 sales were up slightly over the prior year quarter as growth in demand for our sweepers, excavators, snow removal equipment and European products which largely offset by continued weakness in demand for agricultural and governmental mowing products as well as non-governmental demand for some of our backing trucks and other industrial products. First half 2015 net sales of $423.5 million were $43 million higher than the first half of 2014. Acquisitions contributed a net $63 million, but this was partially offset by over $16 million of unfavorable currency translation effect. As we discussed in last quarter’s call, the remaining $4 million difference is primarily due to the large industrial mower order that drove our first quarter 2014 [indiscernible]. Net income for the quarter was $9.7 million, or $0.84 per diluted share, compared to $9.2 million, or $0.75 per diluted share in the second quarter of 2014. Year to date net income was $17.1 million, or $1.49 per diluted share, compared to $16.4 million, or $1.34 per diluted share, in the first half of 2014. The operating results of our recent acquisitions net of related interest expense and income taxes contributed $0.2 million or $0.02 per diluted share to the second quarter 2015 net income and $2.1 million or about $0.19 per diluted share to net income year to date. The negative effect of changes in foreign currency translations reduced net income by about $0.2 million or $0.02 per diluted share in the second quarter and about $0.3 million or $0.03 per diluted share year to date. Our results were again impacted by noncash charges related to sales of inventories acquired for Specialized, which were subject to a $5.4 million step up to fair value and the purchase price allocation. The amount of step up expense was $0.8 million in the second quarter of 2015 and $2.5 million your to date. After taxes, these noncash charges reduced net income $0.5 million or $0.04 per diluted share in the second quarter and $1.6 million or $0.14 per diluted share in the first half of 2015. As of the end of the second quarter, about $5.2 million of the step up has been expensed since the acquisition, leaving about $0.2 million to be expensed in subsequent accounting periods. Excluding the noncash charges related to the inventory step up, these acquisitions contributed $0.7 million or $0.06 per diluted share in the second quarter of 2015 net income and $3.8 million or $0.33 per diluted share to net income year-to-date. Also, our year to year earnings per share comparison have and should continue to benefit through the end of the third quarter from the repurchase of sales from our major shareholder in the end of the third quarter of 2014. Industrial division’s second quarter 2015 sales of $118.5 million represented a 12.3% increase over the prior year second quarter. The acquired Specialized company contributed sales of $34.9 million to this division during the current year second quarter compared to $19 million in the prior year. Excluding acquisitions, second quarter industrial division sales were $84.3 million, representing a decrease of $2.2 million from the second quarter of 2014. The unfavorable effect of currency translation accounted for most of this difference while the remaining shortfall was primarily due to the impact of inclement weather and final shipment of a large prior year order of sales comparison for governmental mowing equipment as well the effect of lower commodity prices on non-governmental demand for certain vacuum trucks and other industrial products. This more than offset otherwise strong demand for our sweeping, excavator and snow removal product lines. Agricultural division’s 2015 sales were $53 million in the second quarter, a decrease of 1.2% from the prior year quarter. Excluding the Herder acquisition, 2015 second quarter sales in this division were $52.2 million or 2.7% lower than the second quarter of 2014. This year to year decrease was due to continued general weakness in the agricultural equipment market as well less the unfavorable affect of currency translation. European division second quarter 2015 sales were $44.2 million, which was $4.4 million or 9.1% lower than the second quarter of 2014. The unfavorable currency translation effect on this division’s second quarter 20 1415 sales was about $7.2 million. Excluding the unfavorable to translation effect, this division’s sales were up 6% quarter to quarter. Total company margins continued to expand in the second quarter of 2015. Excluding the previously mentioned noncash step up charges, second quarter 2015 gross margin improved to $53.2 million on 23.8% of net sales compared to second quarter 2014 gross margin of $47.3 million or 22.8% of net sales. This favorable year-to-year comparison reflects proved production efficiency, lower commodity cost and a better mix of aftermarket spare and wear parts sales. Excluding the step up charges and about $0.4 million of expenses related to a major systems conversion, second quarter 2015 operating income expanded to $17.6 million or 8.2% of net sales. Prior year second quarter margins were reduced by $1.3 million of acquisition cost and $0.9 million non-cash charge related to an age-based acceleration of stock option investment. Excluding these items, the comparable prior the second quarter operating margin was $17.0 million or 8.2% of net sales. Our trailing 12 months EBITDA adjusted to the exclude the $5.2 million of inventory step up expense was $92 million compared to $60 million for the prior trailing 12 month period. This 53% increase was mostly due to the contribution of the acquired Specialized company. As of the end of the second quarter 2015, our trailing 12 month free cash flow defined as net cash generated by operating activities less than net of capital expenditures and retirements was $26.4 million which was 7% lower than the prior trailing 12 month period, primarily due to vacuum truck rental fleet inventory. In summary, our second quarter 2015 results reflected continuation of several trends, accretive sales and earnings contributions from our most recent acquisition, stable local currency results in Europe, unfavorable effects of foreign currency translation, weakness in agricultural and some non-governmental industrial equipment markets, strength in sweeper, excavators and snow removal markets and improvements in the company's gross and operating margin performance. I would now like to turn the call back over to Ron.
Ronald Robinson: Thank you, Dan. All in all, we thought the second quarter was a pretty reasonable quarter. There was certainly some plusses and minuses, record sales certainly helped by acquisitions, but – continuing some weaknesses in particularly in the ag sector and certainly the strong US dollar has had a big negative effect on all of our foreign earnings – sales and earnings, which was almost 30% of our – in one way or another, currency translation affected nearly 30% of our sales. We had hoped for a little more growth, particularly in the industrial sector, but weakness in the non-government part of that business was a little – was off, which even though that's not the major part of our business in our industrial sector, the major part is focused on governmental entities, but in the last few years we've had very nice growth of sales for that type of equipment in non-governmental entities, and some other areas such as oil, mining, petrochem. And certainly those areas this year – in the first half of this year have been a little softer than they've been in previous years. So our core governmental business in the industrial sector actually held up quite well and all of our products to cities, counties and states were basically in line with our expectations and bookings and backlog in our industrial sector were actually at a nice healthy level. Certainly, the ag market is soft and – but we feel we are holding up better than most of the major players who sell equipment in this market and feel we will continue to outpace the market itself, though certainly the market itself will stay under pressure well into next year, and – but then we’ve also been helped in that area even more so with improved margins and we think that will continue to benefit our business and this is a result of two things. A little bit better product mix with a little bit more spare parts, which have held up a little bit better than the new equipment has and across all of our businesses, our margins are improving as a result of our cost control efforts. So – plus I think margins have been held not only by our cost control efforts internal, but also even on purchasing as purchase components we've been able to hold those costs well in line. Certainly, in Europe the economy there remains the a little on the weak side, but in local currency, we’ve actually been showing improvement there this year, but certainly have given away all of the improvements in local currency by that time that gets back to translated into US dollars. And we anticipate the US dollar is going to continue strong, especially later on this year as the Fed raises interest rates that could be even further impact the US dollar, but in local currency we feel that we will continue to perform at an improving level. So as a result in total, we feel there are certainly some headwinds that will affect the rest of the year in ag, in currency and all, but with our cost control efforts which are – should allow us to keep improving our margins plus more focus on asset management particularly our inventory and rental equipment fleet, the remainder of the year is looking pretty reasonable and we are very pleased that our bookings and backlog so far supporting that outlook as we move ahead through the rest of the year. So all in all, like I said, I think we feel it was a reasonable quarter and that pace should continue despite the same headwinds that will also continue throughout the remainder of the year. I would like to point out one other note that – there was actually a press release which just went across literally during this conference call, noticing that we announced the appointment of two new directors to Alamo Group’ Board of Directors, Eric Etchart and Bob Bauer, and we think there is some background information in the press release and I think they will be excellent additions to Alamo since they do have strong backgrounds working with international industrial manufacturing companies, such as ours, and so we are very pleased to have these two. And these additions were made in anticipation that two of our long-serving directors, Jim Skaggs and Jerry Goldress, have expressed their interest in retiring from the Alamo Board before year end. Like I said, Jim has been with us for 19 years and Jerry 14 years. So they've been on Alamo’s board for long time – animation of a smooth transition, so we are very pleased to have the two new directors joining us. And that really concludes our prepared remarks. And at this time, we would certainly like to open it up for any questions you may have.
Operator: [Operator Instructions] Our first question is from Michael Shlisky.
Michael Shlisky: Couple of quick questions here for you. I guess first, can you clarify in the industrial segment, last quarter you had very strong backlog and you had mentioned that a lot of that was fairly quick ship in the next two to four months that you just said, your actual sales were down year over year for the quarter. Can you maybe bridge what might have happened there and is it important for us to maybe adjust our expectation downward for the back half of the year here?
Ronald Robinson: As I said, the non-governmental sales – a lot of the bookings and backlog were good and I think we shipped most of that. What we anticipated there, I think may be at the end of the quarter little bit – few shipments that probably didn't get out like we thought, but in general, I think the sales were fairly in line with expectations there. Maybe the booking shipped during the quarter weren’t quite as strong. And like I said, that was mainly in the non-governmental part of the business. We have some – the second half of the year, we have some, like I said, number one, the backlog is in pretty good shape. We've got some new products going out, [indiscernible] has their new discovery unit which we introduced to the market earlier this year and being well received. We will actually start making our first shipments of that in the second half of the year. Our snow removal products have a very good backlog and most of that is for the second half of the year, especially late third quarter, early into the fourth quarter. Our snow removal after the big winter last winter, the bookings – a lot of equipment was – had some hard work and so they are replacing equipment at a very healthy level for us. And so that's looking good for the second half of the year. So there were a few specific softnesses in the second quarter, may be in some governmental mowing products, but even those probably had better backlog now going into the third quarter. So the few weaknesses we had were in vacuum trucks, and some mowing equipment, vacuum trucks like I said, it's the non-governmental side and I think that is going to say stay weak. But I think the mowing products are going to pick up, but sweepers are holding up nicely. Vacuum great haul products are holding up nicely. And snow removal should have a very strong balance of the year. So all in all, like I said, there are still some softnesses in the non-governmental sector, but I think – and sales were little bit softer than we thought, but I think some of that like I said the non-governmental sector for vacuum trucks and that's going to stay a little soft, but all in all, I think we’re going to have a reasonable second half in the year in our industrial businesses.
Dan Malone: Mike, I would just add to that, in the quarter, over three-quarters of that $2 million miss was currency translation.
Michael Shlisky: On the topic of snow, so there is a company out that just reported their outlook, they’re a snow specialist company, last week they increased their forecast for the year, feeling little more confident about how that is going, I know that the products are somewhat different than yours, but do you feel any better about your snow businesses this year than you actually felt a few months ago?
Ronald Robinson: I think we feel good about it, maybe a little bit better, because like I said I think the second half of the year should reflect that. This is the – snow removal equipment is a good part of our business, but not a huge part of our business. This is – second half of this year you wish it was a bigger part. So – but it is growing, should have a good second half of the year and probably maybe a little bit better than we thought the first of the year.
Michael Shlisky: Can you just touch on one last thing on the ag space, some surveys out there that I've seen, Kyle mentioned that still several times more farmers intend to buy mowing equipment in the coming year than large tractors. So it does sound like that business, as you just mentioned, is going to do better. But I guess my question was more about [eastern weather] that we've seen in the Southeast, the heavy rains down there, is it safe to say that perhaps that holds a little bit, be a lot better with some more grass growing throughout Texas and Oklahoma and other branch areas? Do you feel any better about mowing and hay now that you had felt maybe three or four months ago?
Ronald Robinson: I would say I feel a lot better, maybe a little better, you are right, the Southeast is doing a little bit better. But certainly the West Coast is still struggling and so there are some good and bad in different spots of the country where we are getting better rain than others and so, I think I feel reasonable about the outlook, certainly – I think we will hold up better than the market, but farm incomes are going to be down this year for sure. And so I think that will affect somewhat farm decisions and purchasing. But we still – like I say, we feel very good that we're going to do better than the other sectors in the ag will.
Operator: [Operator Instructions] Our next question is from [Tyler].
Unverified Analyst: To start off, with the ag segment being weaker this year as we would expect, is pricing unfolding or is there have been some discounting to some of these products?
Ronald Robinson: No, generally I think pricing in our type of niche products we sell pricing has been holding pretty reasonable. I can't speak for the overall sector. I mean, you may be combines or something like that it's probably under a little bit more pressure, but our pricing is holding broad in its type products.
Unverified Analyst: With margins being a little bit better this quarter, could you talk about what kind of – where that margin lift came from?
Ronald Robinson: It's really from two things. I think one is mix, I think the mix was a little bit better and that spare parts as a percent of sales were up slightly just because they held up better than new equipment sales. So mix helped us a little bit. But even more so, I think it was our internal cost-control initiatives. And that was not just one thing, but a couple of things, certainly I think we did better on our manufacturing efficiencies and better right size in the most of our manufacturing plants. So our internal utilization of labor was better. And I think we've exercised pretty good cost-control on purchase components. Steel remains [indiscernible] competitively these days and so I think our purchase price variance was a little bit favorable to us. So cost control, mix and labor efficiency were all three contributed to that. And plus you implied earlier, pricing, we didn't have to give that away to pricing. So I ought to think that – and we feel those same conditions will help our margins even if our sales result in ag, that our margins could actually continue to improve.
Unverified Analyst: And then on Europe, we are down a little bit from where the second quarter was last year, could you just give us a better idea of how the region break out or what performed better in the quarter in Europe, specifically what was a little bit weaker?
Ronald Robinson: Certainly, our UK plants did the best and they actually export the most of all of our plants in Europe. And even they were hurt a little bit by – they were building in pounds and selling in some cases in euros, so you would sort of get double effect there. It's euros to pounds, and then pounds to dollars. But in general, our UK plants and the products there did the best and like I said, they export throughout Europe. Our French operation, especially our French ag operations, our French industrial operations did reasonably well in the second quarter. Our French ag operations were the weakest because I think the French market, in fact the Southern European market in general has been softer than the central and northern European markets for our products, but France itself has continued to struggle. And France as a bigger ag market and that one has struggled.
Dan Malone: I would answer that we are actually up in the quarter, 6% in Europe. When you exclude the effect of the translation, the currency effect, on our consolidated – but that includes acquisitions.
Unverified Analyst: Just to add onto that, what percent would you be up excluding currency translation and acquisitions in Europe?
Dan Malone: Well, in the quarter there was no acquisitions affect, but in the quarter we were up 6% quarter to quarter.
Unverified Analyst: And then just the last one from me and then I will pass it along, with concerns of slowing down global economy and a little bit hesitation for budgeting on a federal basis for government spending, have you guys felt anything in your order book or seen some hesitation on the government spending of your industrial product?
Ronald Robinson: Not really. We don't sell much to the Federal government. I mean, most of ours is just city, county, states or airport authorities or stuff like this. And even though they have had certainly budget difficulties too lately, but they have seem to be more aggressive in their response to those budget shortfalls. I mean, you are seeing sales tax go up for specific use taxes and things like that. So I think government has been little bit more proactive about responding to budget challenges. So as a result, like I said, in our industrial sector even though the non-governmental business has been a little soft, we think that the governmental business in general has held up. I think one of the things we think hurt our mowing in governmental a little bit this year is because the heavy winter this year, more people were spending more money on snow removal and snow removal equipment. So maybe a little bit – they were a little slower starting to buy the mowing equipment and little – maybe didn't have as much budget. But we are getting to the time of the year when state budgets are starting their new fiscal years and we think that will – so, if they got through the past year in pretty reasonable shape relative to our type of equipment, we think we will even do better when they get their new budgets in place for next year.
Operator: We will take our next question from [indiscernible].
Unverified Analyst: I guess I just want to cut the chase a little bit, you guys have outlined a number of puts and takes in the business, you had a very strong second half of 2014, can you grow earnings are the year-on-year in the second half of 2015?
Dan Malone: We don't give out guidance – that kind of guidance and we also – certainly the second half of 2014, we had Specialized which we didn't have in the first half of 2014. So that really gave a big boost to the second half whereas for this year we had them in the second – so the comparison won’t be – we won't get quite the boost from the acquisitions that we did in the second half of 2014. I think in general, like I say, we're running at a good pace and so I mean we won’t see the big increase as we saw in the second half of last year. But we think we will run at a very healthy pace in the second half of this year, helped by decent bookings and backlog, helped by good pickup – the snow sector looks good, sweepers look good. The new product introductions at places like great haul and even some at bush haul should help the second half of the year. So all in all, like I say, we won’t certainly get the big comparison in 2014 where we had the big acquisition in the middle of the year, but I think we are fairly optimistic – though like I say ag is going to stay a little soft, non-governmental industrial business is going to stay – it's going to be a little soft, and the currency effects we are facing this year certainly much different than the ones we faced last year. So with those headwinds, I think we will perform fairly well.
Ronald Robinson: Just one caution, I don't know if you're asking the question from an adjusted standpoint or from the GAAP number, but certainly in the GAAP number we're going to get an instant benefit from not having a step-up that expensing of that inventory step-up...
Dan Malone: I mean, that's $2 million there that was...
Ronald Robinson: It was $2.7 million in the second half of last year, only $200,000 in the second half of this year.
Dan Malone: And $2 million in the first half of this year.
Ronald Robinson: $2.5 million, so we won't have that reoccur. The GAAP number automatically – we would get that benefit.
Unverified Analyst: The non-governmental areas of softness you refer to industrial, roughly what portion of the total of industrial that account for those end markets that you refer to?
Dan Malone: Certainly the majority of sales in that sector are to governmental, so it's not a minor part of the business, but as a percent, it’s much smaller percentage. But it has been growing nicely in the last couple of years. So that certainly has had an effect and has hurt us, it's not – like you say, it was a big part of the growth, not a big part of the total business.
Unverified Analyst: Understand it’s the minority, but is it 10%, or is it 45%?
Dan Malone: Actually we don't break that out and it varies by products. 3% is a little, vacuum trucks has a little bit higher percentage, and excavators has some and it all varies and like I said, we haven’t broken out in that kind of detail. We will look into that little bit further about how we characterize that in the future.
Unverified Analyst: In ag, obviously it's holding better than large ag, I wouldn’t expect any differently from your business, but any sense that you – there will be a catch up to the downside in your product categories, not to the full extent of like the 40% decline obviously we are seeing in combines, but do you feel like the sort of stable numbers plus and minus low single digits that you’ve been seeing in ag recently, like there is a serious risk that those blowout low double-digit declines or anything in the next 6 to 12 months, just feel like it's going to be an overall pretty stable business?
Ronald Robinson: I think I think a little bit – pretty stable, no other major changes to farm incomes or like they get worse or anything like that, so I think reasonably stable because we've been in this downturn in ag now at least a year or more, and I think we have held up like fairly reasonable, we have – we don't see any signs of that changing. In fact, we are starting into our out of season programs now and there are expectations. I mean, we are actually holding up quite well in our out of season, in our preseason selling programs that will build during the winter for early next year. So no, feel that we will continue the pace we are in ag.
Unverified Analyst: And there's just lastly, you got $ 44 million of rental equipment on the balance sheet, what is that and what’s your exposure overall to the rental channel?
Ronald Robinson: Well, that that is it. I mean mainly that is our super products business, the vacuum truck sector of our industrial division that even before we bought them, they had gone into the rental market directly. And it's one of our few areas where we do that directly because that is not – there has been a growing demand there and without the major rental houses have not focused on that area. So super products may start into that and that business should be growing quite nicely for them in the last several years and I think the equipment is up, because we have actually now more locations, more rental locations than we had a year ago. Actually the rental activity there and the pricing has held up fairly reasonable probably which has been the slowest there though is the sales conversion of rental – own equipment at the rental markets. And so as a result of that, we are a little heavy in inventory at the rental markets. Like I said, it had grown because that number of locations and the business has been growing, but now we probably have a little too much inventory, our rental assets at those locations and so that's part of – what I said earlier we are going to be doing I think in the second half of this year a little more focus on asset management particularly inventory and rental assets. And so I think right now we have too much equipment at those locations relative to our needs, because it has not converted to rent to own as the same pace it was last year, so we have a little focus on reducing our inventory – our asset levels at those facilities, but actually the rental activity is holding up reasonably at those, even though a lot of that is non-governmental rentals. So the rental activity is good; it’s the asset utilization that suffered a little.
Operator: Our next question is from [indiscernible].
Unverified Analyst: I wondered if you could walk through how you see the dealer inventories by segment and how was sell out versus sell in for you for your equipment?
Ronald Robinson: The only sector of us that dealer inventory is a big issue is in the ag sector. Our industrial sector mainly is more build to order and so – dealers while certainly will carry spare parts and carry some standard units and all – and even the same thing in Europe. Our ag part of Europe, even our industrial and ag part in Europe is a little bit more build to order. So the big area where we have dealer inventories is in the ag sector, mainly in the North American ag sector. And actually our dealer inventories are at reasonable levels. I mean dealers there's a bit of an overhang and things like maybe combines, big tractors, used equipment that type stuff, our equipment, there does not appear to be much of an overhang and we're seeing that as I said, we're starting to our out of season ordering programs now for dealers and dealers are ordering the equipment at a reasonable – at a fairly healthy level which they wouldn't be if they had an overhang of inventory of our type of equipment. And it's interesting, even our receivables on our floor planning we do for dealers actually those are coming in very much in line with our expectations and last year so they retiring – they are paying off the equipment in line or ahead of our expectations. And the reordering in line with expectations. So that is a good indication to us that we don't have an overhang of inventory in the ag segment. Certainly some of the ag dealers, since they do have too many combines or something, they’ve been a little tight on restocking inventory, but we are not seeing an overhang of our type of equipment, nor any expectation that the market is softening for our type of equipment in the ag sector. And like I say, that is the majority of where our dealer inventories are.
Unverified Analyst: Last question is acquisitions, how does the pipeline look and how does pricing look and what the appetite on your end?
Ronald Robinson: The pipeline is actually fairly active. The pricing is terrible and I think that we've seen pricing get pretty strong and terrible for a buyer, which means our appetite is still there, we are still very interested, we are still looking, there are some things that we would like to – we are pleased with all that, we are not pleased that the pricing seems to be fairly at the high side and we are – while we realize maybe we have to pay a reasonable price for things, but we are not nearly ready to write blank checks to buy a stuff, so trying to exercise some pricing discipline on acquisitions. So we're looking at a lot, we are seeing a fair bit, but like I say, pricing is going to limit the opportunities there in the short term. I don't know if that will change when – if interest rates go up or something like that, but – and it seems to be certainly a lot of private equity players that we're competing against in that sector these days, like I said, pricing was a little bit better or [indiscernible]. Like I say, it's got to make financial sense for us or we are not going to do it.
Operator: [Operator Instructions] Next, we have a follow-up question from Michael Shlisky.
Michael Shlisky: Just one quick follow-up question and it's kind of back on that weather question I had earlier, that same weather patterns also [indiscernible] acres in the corn and soybean belt over the last quarter. So we’re going to probably be seeing hundreds of thousands of destroyed acres or acres abandoned. And I was kind of wondering is that an opportunity for some of your products to be put to work? Is there are parts opportunity there, is there a [whole] opportunity there and what will be the timing of that if that were to take place?
Ronald Robinson: Like you said, there are some areas where the crops are struggling and they may have to be abandoned. But in total, the crop is pretty good this year, especially things like corn, soybeans this kind of stuff. Some areas are having a record yields. And so I think on average, it's not affecting anything the totality, even though if you're in one of those specific areas it could be devastating. But since we cover a lot of it, I don't think [indiscernible] whether they harvest it and then mow the stuff or whether they just mow the whole thing it's going to – one way or another, they are probably going to have to – whether the ground before they harvest it or after they harvest it, I don't think it's going to have a huge effect on equipment sales or have a huge effect on – notice, I don't think you will have a noticeable effect on equipment or spare parts sales this year.
Operator: And there are no more questions at this time. I would like to turn the call back over to management for any closing remarks.
Ronald Robinson: Thank you very much. We certainly appreciate you joining us today. That's all really we have. Certainly, we look forward to speaking with you on our third quarter conference call in a few more months. So thank you very much and appreciate your support.
Operator: This does conclude today's program. You may now disconnect at any time.